Operator: Greetings, and welcome to the MRI Interventions' Fourth Quarter and Full Year 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Comments made on this call may include statements that are forward-looking within the meaning of Securities Laws. These forward-looking statements may include without limitation statements related to anticipated industry trends, the Company's plans, prospects, and strategies both preliminary and projected and management's expectations, beliefs, estimates, or projections regarding future results of operations. Actual results or trends could differ materially. The Company undertakes no obligation to revise forward-looking statements for new information or future events. For more information, please refer to the Company's Annual Report on Form 10-K for the year ended December 31, 2017, and the Company’s quarterly report on Form 10-Q for the quarter ended September 30, 208, both of which have been filed with the Securities and Exchange Commission. And the Company's annual report on Form 10-K for the year ended December 31, 2018 which the company intends to file with the Securities and Exchange Commission on or before April 1st, 2019. All the company's filings may be obtained from the SEC or the Company's website at www.mriinterventions.com. It is now my pleasure to introduce your host, Joe Burnett, Chief Executive Officer. Please go ahead, sir.
Joseph Burnett: Good afternoon, everyone. And welcome to our Q4 2018 earnings call. As always we thank you for your interest and your support as our team continues to work each day helping patients to battle some of the most debilitating neurological disorders. With me on today's call is our Chief Financial Officer, Hal Hurwitz. Before turning the call over to Hal for some detail on our fourth quarter and full year 2018 performance, I want to share with you the excitement we had entering into the new year on the heels of a terrific 2018. This is both from a strategic standpoint and in relation to our strong fourth quarter financial performance.  We believe that 2019 will represent a transformative year for the company pivoting from a singular neurosurgery navigation system to a true platform company with portfolio assets in not only navigation but also laser abalation, neuro aspiration, robotic, artificial intelligence, gene therapy and clinical and development services. We now have more than 20 different industry partners across our biologics and drug delivery business and counting. Likewise, we have reorganized our team to realize both near and long-term growth and [matched] [ph] our talented employees with roles designed to contribute meaningfully to that growth. We now have a vision and a tool in the ClearPoint platform, which we believe will become a mainstay in any modern neurosurgery center worldwide. After navigating through a challenging first half of 2018, we believe you are now seeing the benefit of this new strategy. The fourth quarter saw a record functional neurosurgery revenue, record case volume and record low cash utilization as top line growth hit 36% for the quarter. But more importantly, we feel our strategy is now well proven and ready for scale based on the agreements already in place with our development partners to execute on our four pillar growth strategy in 2019 and beyond. As a reminder, those four pillars of growth include number one, Functional Neurosurgery Navigation. Number two, Biologics and Drug Delivery. Number three, our own Therapeutic Products, and number four Achieving Global Scale, all of which we will discuss in greater detail ahead, But first, I will turn the call over to Hal to discuss our financial performance for the year and the quarter ending December 31, 2018. Hal?
Harold Hurwitz: Thank you, Joe. For the fourth quarter ended December 31, 2018, total revenues were $2.3 million compared with $1.8 million for the third quarter and an increase of 36% from $1.7 million for the same period in 2017. Breaking that down a bit to the underlying product areas, functional neurosurgery product sales and related service revenues increased 21% to $1.6 million compared with $1.3 million for the same period in 2017. A record 188 ClearPoint procedures were performed in the fourth quarter of 2018, an increase of 18% year-over-year. Biologics and Drug Delivery revenues which includes sales of disposable products and services related to customer sponsored clinical trials was $469,000 in the fourth quarter compared with $191,000 in the third quarter and $42,000 in the prior year fourth quarter. This increase reflected increased product sales and services in this category. Capital equipment product sales and related service revenue was $174,000 for the fourth quarter down 40% from the same period in 2017 due primarily to a decrease in sales of ClearPoint systems which as previously noted fluctuates from quarter-to-quarter. The decrease in system sales was partially offset by a 79% increase in capital equipment related service revenues. In addition, we initiated five new system evaluations in the fourth quarter. Gross margin for the 2018 fourth quarter was 70% compared to gross margin of 61% for the same period in 2017. The increase in gross margin primarily reflected a favorable mix of products sold and greater contribution from disposables and services that carry a relatively higher gross margin. Research and development costs were $481,000 for the three months ended December 31, 2018, compared to $582,000 for the same period in 2017, a decrease of 17%. Sales and marketing expenses were $879,000 for the three months ended December 31, 2018, compared to $1 million for the same period in 2017, a decrease of 13%. General and administrative expenses were $1.2 million for the three months ended December 31, 2018, compared to $1.3 million for the same period in 2017, a decrease of 4%. Our loss from operations for the 2018 fourth quarter was $979,000, down from $1.8 million in the prior year fourth quarter. On a full-year basis revenue was $7.4 million compared with $7.4 million in the prior year. Revenue reflected the deferral of activity due to FDA actions taken in early 2018 that adversely affected third-party providers in the laser ablation space until resolutions were accepted by the FDA in the fourth quarter. An introduction by a third-party provider of a new deep brain stimulation system that did not have approval for use in the MRI suite until the third quarter. While these temporary issues caused the 2% decline in functional neurosurgery revenue over the course of the year, I want to highlight that biologics and drug delivery revenue increased to $1.1 million up 177% compared with 2017. This increase was due primarily to the commencement of services for our biologics and drug delivery customers during 2018 and to a commensurate increase in biologics and drug delivery product sales. Gross margin for the year ended December 31, 2018 improved to 67% from 61% in 2017. The increase was due primarily to increased contribution from disposables product sales and services revenue that they're relatively higher margins. We maintained a close watch on expenses throughout the year as part of our focus on scalability and lean operations.  Research and development costs were $2.3 million in 2018, an 18% decrease compared to $2.8 million in 2017. Sales and marketing expenses were $3.5 million for the year ended December 31, 2018, a decrease of 11%. General and administrative expenses were $4.3 million for 2018, an increase of 7%.  Turning briefly to the balance sheet and cash flows. During the 2018 fourth quarter, cash used in operating activities was $600,000 notably below our previously communicated expectation of $800,000 and down from $975,000 in the 2018 third quarter and $1.7 million in the fourth quarter of 2017. Cash at December 31, 2018 stood at $3.1 million. As previously announced, we retired $2 million in debt and extended another $2 million of debt by 18 months to September 2020 resulting in a more favorable overall capital structure as we remain focused on operating efficiency. With that I will now turn the call back to Joe.
Joseph Burnett: Thank you, Hal. Hopefully you can appreciate the inflection point achieved in the second half of 2018 which we believe will fuel our performance through 2019 and beyond. As mentioned earlier in the call, we have been executing against a four pillar growth strategy. And believe that 2018 was a big part of getting all the right chess pieces on the board. 2019 is where we really start to put those pieces into motion. For pillar number one continued growth in functional neurosurgery navigation. We believe the demand for our products remains strong and is accelerating. In 2018, we participated in a record 670 cases throughout the calendar year. We expect that number will increase to between 800 and 850 cases across our portfolio in 2019. We now have 58 centres installed with the ClearPoint platform each of which enables a razor, razorblade relationship of activating cases and in turn single-use disposable head frames and cannula. In the past months, we've prepared for this growth through a few key strategies and tactics. First, we signed at least five new evaluation agreements since the beginning of Q4, 2018. These have been installed in the past few months and are now actively scheduling cases. These evaluation agreements are akin to opening new stores and beginning the training process. Second, we are almost complete with a successful limited market release of our ClearPoint 2.0 platform system which is a new workstation and software interface that will enable new capital upgrade opportunities in 2019 and facilitate faster procedure times.  Third, we have shared best practices generated from our very best high volumes users to our growth, our broader installed base of sites referred to as our two-a-day protocols. At the beginning of 2018, we only had two centers that were actively scheduling two procedures a day and now we have seven. These seven centers are not only proving the protocol is replicable, but also that it is a major revenue opportunity for sites that adopt two-a-day ClearPoint regimen as part of their MRI scheduling priorities in diagnostic scanners. And finally, as announced last week, we have reached an agreement with Siemens which will enable our ClearPoint system to interface directly to the Magnetom family of scanners the Siemens Access-I interface. This collaborative effort will enable new, faster and more efficient workflows to reduce procedure time and add predictability to again make better use of valuable time inside of the magnet. These strategies coupled with the resolution of an FDA recall from one of the laser ablation surgery providers, we believe will accelerate growth in 2019 for both capital and disposable products. For pillar number two, growth in our Biologics and Drug Delivery business, we experienced a transformative year starting with our agreement with Voyager Therapeutics back in May of 2018. As a reminder, we created a blueprint agreement with Voyager that establishes a best practices relationship to deliver navigation, disposables, services and co development programs for our biologics partners. The agreement last may evolve our relationship with Voyager in three parts. First, we gave assurances of supply for both our ClearPoint navigation platform and our SmartFlow infusion cannula for inclusion in Voyager's restore phase 2 and phase 3 trials for Parkinson's disease. Second, we established our clinical support model whereby Voyager has trained our clinical specialist's team to handle the infusion and protocol part of a Voyager procedure. It makes perfect sense that since our team is already present in the surgical suite assisting with the navigation of the procedure that they also be capable of handling the Voyager portion of the infusion. Thereby saving Voyager from having to hire their own large team of clinical specialists. And third, we offered to be the de facto medical device R&D team for Voyager to create custom versions of navigation system, software, cannula and other devices leveraging our team, our intellectual property and our quality system. This removes a burden from a company like Voyager and allows them to focus on their strengths and creating the biologics themselves. A perfect example of this is today's announcement on Voyager's transfer of the 510-K for the V tag system over to MRI. In 2018, we also achieved CE mark clearance for our SmartFlow cannula which has begun shipping to European countries for use in clinical trials abroad in the second half of 2018. This blueprint agreement for Biologics and Drug Delivery is now in place and we are actively looking to replicate similar agreements across our entire portfolio of partners in drugs and gene therapy. In the past two years, we have shipped product and done development work for more than 20 distinct companies in the space. Introducing just one additional Voyager type partnership each year would be incredibly meaningful for a company of our size.  Now that our products all have CE mark clearance, the doors are open for trials enrolling outside of the US as well. Moving to pillar number three which represents the launch of our own therapy products in order to gain a greater share of per procedure revenue and increased profitability and sales leverage. We achieve two significant milestones in 2018. First, we received FDA clearance in December for the ClearPoint PURSUIT Neural Aspiration System. This is a product developed in collaboration with the Mayo Clinic. We completed our initial builds and labeling in January and since trained three sites on the new product to prepare for our first human cases. We actually installed our new ClearPoint system in the Mayo Phoenix scanner room over the weekend and expect to perform our first human in case any day as we wait for the right patient to present requiring aspiration therapy. We also signed an agreement with CLS, a Swedish laser company in October which granted up the license to the neuro and spine indications for the Tranberg Laser System and the associated applicator. We have started our co development efforts to iterate on the platform and to offer a laser solution tailor-made for use with the ClearPoint navigation system. We expect to perform first case in the second half of 2020. The neuro and spine laser ablation market is currently estimated at more than $25 million today and we believe that we have a credible path the market leadership by combining ablation and navigation together into a single workflow. And finally in pillar number four which is to achieve global scale, we have made terrific progress in this endeavor as well. As you can see from our financials that despite revenue being flat year-over-year from 2017 to 2018, we reduced our cash burn by more than $1 million with steady declines in cash used each quarter to a record low of $585,000 in the past quarter. We've also renewed our lease on our facility in Irvine by another five years ensuring no wasted time or energy and moving. This facility has capacity to produce more than 5x our current run rate in the same clean room space. We've also signed a second agreement with CLS, the Swedish laser company whereby they are using our Irvine office space as their US headquarters and in turn sharing in the cost, as well as an agreement as the North American distributor for laser ablation procedures outside of neuro and spine. We expect to begin recognizing sales from laser revenue outside of the brain starting in prostates sometime in the second half of 2019. Looking forward to 2019, we are raising our forecasted range of revenues to between $9.5 million and $10.5 million in sales which would represent a growth of between 30% and 42% year-over-year versus 2018. We continue to expect case volume across our portfolio in the range of 800 to 850 cases which would also represent 20% to 25% growth versus the prior year case volume. We will continue to execute and expect to see growth in all four of our strategic pillars. As I said before, 2018 was a year of getting our chess pieces in place and 2019 is about executing our strategy and playing the map. With that I will turn the call over the operator for any questions and answers. 
Operator: [Operator Instructions] Our first question is from the line of Scott Billeadeau with Walrus Partners. Please proceed with your question.
ScottBilleadeau: Oh great, hi, guys. Good quarter, just a quick question. Could you kind of lay out what is the kind of the size, scale of the current sales force and what are your thoughts on growing that? How mature they are? Where are you in the process of developing that?
JosephBurnett: Sure, thanks for the question, Scott. So our sales team today is really made up of two distinct groups. The first one is what we described as the regional business managers. There are five of them and they are all located here in the United States. Four of them are focused on our neurosurgery portfolio and one of them is focused specifically on calling on our biologics and drug delivery partners. They're kind of the primary liaison to that group. So that group is pretty well covered at this point and given the known and number of hospitals here in the United States at about 250 opportunities we think that sales team is pretty right sized given the portfolio today. If we were to hire any more territory managers or regional business managers, it would likely coincide with the launch of our laser system towards the second half of 2020 or possibly some select resources to explore opportunities outside of the US. So that's the --that's kind of the sales team. They're the ones that are generally tasked with two different parts. The first is to open new stores and to place capital into new hospital. And the second is that in many cases a hospital will purchase a ClearPoint system specifically for one application. So for example, they purchase a system to do deep brain stimulation. That capital salesperson is also responsible for training them on laser ablation or biopsies after they start doing DBS. That's kind of one phenotype of the sales team. The other is the clinical specialists that are present for each one of our cases. And in that situation, we have 12 clinical specialists that are now spread across the United States and are actively in procedures just about every day.  And really that team I think will continue to grow slightly each year. And then I think there is a capacity at some point where we don't need to hire as many people in the future depending on what our portfolio mix looks like. Given that we've added laser ablation to our portfolios as an example things like that could trigger us to continue to hire in that space as well.
ScottBilleadeau: Right. Just a quick follow, do you have a feel for what the breakdown is between DBS laser ablation and biopsy at this point in time? Do you know whether we are using them or you have a --have a good breakdown?
JosephBurnett: Yes, absolutely. So I would say just over 50% of our procedures are generally deep brain stimulators with the vast majority of them being used for Parkinson's disease. However, there are some additional deep brain stimulator procedures for epilepsy that are now being used, the company named Neuropace is an example of that. So that's about 50%. Another 40% or so are laser ablation procedures and those are generally split pretty evenly between epilepsy and tumor cases. And then the remaining 10% of our procedures are generally biopsy procedures and drug infusion procedures at this point.
ScottBilleadeau: Great and two to three years out what's your take for what that mix would be? And does it change a lot now that you're going to go direct at laser yourself? Any thoughts there.
JosephBurnett: Yes. I mean I think we certainly expect laser to grow now whether it grows as an overall mix I think remains to be seen. And the reason I say that is that to put things in perspective there are about 5,000 deep brain stimulator surgeries that are done each year. And last year we were in about 350. So there's so much opportunity for us to continue to move some of these procedures out of the operating room and into the MRI scanner that I see significant growth opportunity on the DBS side as well.
Operator: Our next question is from the line of Jeb Terry with Aberdeen Asset Management. Please proceed with your question.
JebTerry: Good afternoon, Joe. Couple of questions. You're at the seven hospitals now from two last year they can do two cases a day. What might that number look like at the end of 2019?
JosephBurnett: Yes. I mean the reality is that we've shown and proven it can be done. And I think that's an important first step. Now there are always certain hospitals that have different challenges. So for example when we're installed in a Children's Hospital even if the workflow is capable of doing two- a-day they simply don't necessarily have the volume to ever get to need to do that many procedures. So 20% of our hospitals are generally children's hospitals that just have lower demand. But I think a very good goal for us is to continue to add at least one or two sites each quarter that are capable of doing two-a-day type procedures because it's really more of a now that we've kind of proven that it can be done and it could be reliably, it's really just making sure that the patient volume is there. And that they're taking advantage of their scheduled MRI time as well making sure there are enough days in the week or days in the month that the hospital is capable of doing the procedures.
JebTerry: And relative to --so if they can do the procedures, is there some change in the referral process of giving neurologists to refer patients or how does the patient funnel look like going into -- 
JosephBurnett: Yes. I mean so it's important to know that in most of our cases it's not just the neurosurgeons that's there but the neurologists does in fact come by as well. And there are two types of aha! moments that we try to make sure that these referring neurologists see. Number one is the speed and the accuracy of the procedure itself which the more and more cases you see and the more and more cases that a single site does, the more predictable the workflow gets, the better the troubleshooting during complex cases. And again getting a good outcome in just a few hours is something that's certainly possible. And it's important for the referring neurologist to see that. The second aha! moment is when the neurologist sits in on a case and then they realize how bad the prior procedure missed. Where if it had been done in the operating room and there was some combination of brain shift or error in co-registration and they realize later when they scan that same patient in the MRI. They realized that the target has been missed by one or two centimeters. And the more and more neurologists that see those cases that C scan, MRI scans of leads or ablations and realize that it is in fact possible to miss when it's done in the operating room. Those -- that's another level of an aha! moment that gets them to start thinking about referring more patients for this type of procedure.
JebTerry: Well I was going to ask you about that that I've heard the conventional way is like 30% [indiscernible] redone. 30% of old method for DBS. So you mentioned in the press release that you involved in multiple gene therapy trials. Is that presumably in addition to Voyager or multiple trials with Voyager?
JosephBurnett: That's correct. So we try to work closely with our companies to make sure we only disclose the one better at the stage where they like to be disclosed. But I can tell you that there are, I believe there's seven trials in total that are using either our navigation system or our SmartFlow cannula or in some cases both. So we are active out there. I think we've announced a couple in the past quarter, but I would expect in 2019 and 2020, this is a certainly a high priority for us to continue to expand that portfolio trial.
JebTerry: And relative to that in occur -- is circa Voyager's trial, they're the most notarize one, it's been expanded to 200 patients. Is it still consistent to consider maybe one case for Voyager equal like two cases else otherwise because we get more revenue per case?
JosephBurnett: That the Voyager procedures are good revenue cases for us because each procedure at least in the Parkinson's trial today involves two navigation head frames as well as at least two drug infusion cannula. So it is taking advantage of kind of our entire product portfolio, if you will, on the infusion side. Plus as I mentioned before because we offer our clinical services as part of agreement with Voyager as well, we have the opportunity to get a little bit additional revenue by our team handling the Voyager portion of the case as well. So overall they're very good procedures for us, and I think some of the new announcements that Voyager had on their side especially around their relationship with Neurocrine, and Neurocrine providing some funding to expand the trial sites and accelerate the trial as well. I think that's great news for the entire procedure and for getting this product closer to commercialization.
JebTerry: And then finally I'm sorry I didn't catch the bit that you take in the second half. You'll be used in some prostate ablation and other indications. Could you clarify that for me?
JosephBurnett: Yes. So there were two partnerships that we signed with CLS, this is the Swedish laser company. One of the partnerships we acquired a license for neuro and spine procedures which obviously our focus as a neurosurgery company. That we expect we're in co-development at this point and we expect to do our first human cases in the second half of 2020. So about 18 months to two years away that kind of timeframe. The second agreement we have with CLS is that we are their North American distributor for other procedures outside of the body. Whether prostate cancer, pancreatic cancer. There are a few different protocols that are in place. So in those situations we get more of a distributor margin kind of an appropriate distributor margin I would say. But to be very clear, we are not handling that alone. So and those are our responsibilities in that part of the agreement is that our sales team will actively navigate purchase orders through a hospital system especially through the capital acquisition process and working with biomed and purchasing and IT and all those different parts of the hospital because we already do that today. We already have those relationships. And secondarily, our clinical team that does have some excess capacity right now and has a bit of time to be able to cover additional procedures, they will be involved in these prostate and other procedures for two reasons. One, it gives them a chance to get much more familiar with the laser program and laser ablation in general, which they'll be supporting for neuro and spine in the future. And secondarily, it really helps the CLS team because then they don't have to hire their big clinical sales team as well to handle the training. They can leverage the team that we've got. So that's really our relationship. We don't see it as a big distraction for us because we don't have responsibility for marketing or for reimbursement or clinical trials or things outside of the body, outside of the brain. The CLS team will continue to contribute those parts of the agreement. And that's we do, to answer your question that's where we expect to kind of start recognizing our first revenue from outside of the brain sometime in the second half of 2019. I think is appropriate.
JebTerry: Okay. And then if you have any outlook relative to --you said you're waiting on the first stroke patient. And as I recall you're in five hospitals. Would you say I mean the three Mayo's and then Yale and then someone else? 
JosephBurnett: We've selected five, yes, we've selected five that were going to as part of our limited market release. And I believe three of those sites are kind of trained and capable of doing a procedure. Now again this is our first therapeutic product and kind of a first procedure of its kind to some extent at least under live MRI guidance like this. So we will anyway --we want to make sure we're careful and we select the right patients to start with.  So that's kind of what the process is, is that we're waiting not only for a patient that would benefit from aspiration, but one that we can kind of step into and learn from along the way before taking on the most challenging cases from the very beginning.
JebTerry: And what would be the revenue per case in that? 
JosephBurnett: So the system itself is as effectively a smart frame device so the same smart frame system that we sell for deep brain stimulation and an ablation catheter placement. Plus an additional accessory kit which represents the suction cannula and some software as well. So it'll be --it'll include both a smart frame as well as an additional --so we haven't really totally launched the pricing of this product yet. So we're still kind of keeping that one to ourselves.
Operator: Our next question is from the line of [Rodney Weber with Pulse and Investment Company]. Please proceed with your question.
UnidentifiedAnalyst: Hey, Joe. And I feel the same way Jeb does. Great quarter and a great year for you last year. And I think we are all looking forward, well, it's going to be fun to watch this company do what it's going to do. My thought process is just to ask you to talk about the sales cycle because for those of us has been around for a while it's been difficult to move this thing forward as quickly as would like to. But you've got so many different ways to move the needle now including getting more hospitals, more doctors, increase number of procedures, increase the speed of procedures all those kind of things. If you go back and look at where you were when you started with those challenges and where you are now what insights have you learned about the ability to develop more hospitals quicker or to bring on more doctors? Seems like with the success you're having that they'll be lining up to do this procedure yet we've got 58 hospitals out of 250. So how do you rev that all of that up another level and when do you think that'll happen? Anyway just that's my thought. I'd love to hear your thoughts on that.
JosephBurnett: Sure. Yes and thanks for the question, Rodney. And I think it's important to note that if you've been around neurosurgery for a while, I think it's fair to say that things never quite move as fast as we'd all like them to move. And I think that was a very important part sort of right sizing the company in 2018 to make sure that the sales and marketing and R&D budget were at appropriate levels that would allow us to grow even if the market doesn't grow as fast as everyone would like to see, but not burn through so much cash that we can't withstand that if that's the way it plays out. So what I mean by that is that we expect to continue to grow the functional neurosurgery revenue. We expect to continue to open six to ten new hospitals each year. We expect to continue to increase utilization at each hospital. So we want to make sure our baseline business isn't burning too much cash, and it's still capable of that 15% to 20% growth and then we want to layer additional growth opportunities on top of that, which is the biologics business which is a sleep deep brain stimulation. For example, if we were to get an indication there so it's almost like planning for a certain level of growth and appropriate spending, but having these few triggers out there on the horizon which could be transformative to us. So getting involved with a couple more Voyager type agreements that would be a big deal for a company like us. That gives us a lot more shots on goal in that gene therapy space. Getting an indication for deep brain stimulation asleep which would allow us to go directly to patients to market asleep DBS which we cannot do today that would be kind of a game-changing switch that we could fill up to get more cases. Getting our own laser system out there for example. As I mentioned it's at least a $25 million existing market today. And it's a relationship that we are already present in. Our team is already navigating 25% to 30% of all those laser ablation procedures. So when we come out with a product tailor-made for that application, it's not like we're starting from scratch in that market. But we again have a credible way to win there. And if that product is truly as competitive as we believe it'll be that's something that could be another order of magnitude on top of sales. So hopefully that helps a little bit. End of Q&A
Operator: Thank you. It appears we have no further questions at this time. So I'd like to pass the floor back over to Mr. Burnett for any additional concluding comments.
Joseph Burnett: Terrific. Thank you for joining us today. And I hope you can feel our excitement for this record functional neurosurgery revenue. Record cases, rising gross margin; reduced cash burn and overall progress that we made in 2018. We are very excited for the continued success into 2019 as our company quickly transforms into a more complete, more diverse and more integrated leader in MRI guided neurosurgical procedures, driven by our four pillar growth strategy. In addition to continuing to report our progress and key milestones, we will be taking meetings around upcoming conferences events including the High Hurdles MicroCap Conference in Salt Lake City later this week. The Roth Capital Partners Conference in Orange County and the Sidoti Conference in New York City at the end of the month. If you have interest in meeting in person at any one of these events, please contact Matt Kreps at Darrow Associates, our Investor Relations firm, using the contact information on our press release. They will work to ensure you are added to our meeting rosters at these or other upcoming events. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. Again, we thank you for your participation. And you may disconnect your lines at this time.